Operator: Welcome to the RLJ Lodging Trust First Quarter 2021 Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to Nikhil Bhalla, RLJ's Vice President and Treasurer of Corporate Strategy and Investor Relations. Please go ahead.
Nikhil Bhalla: Thank you, operator. Good morning, and welcome to RLJ Lodging Trust's 2021 first quarter earnings call. On today's call, Leslie Hale, our President and Chief Executive Officer, will discuss key highlights for the quarter. Sean Mahoney, our Executive Vice President and Chief Financial Officer, will discuss the company's financial results. Tom Bardenett, our Executive Vice President of Asset Management, will be available for Q&A. Forward-looking statements made on this call are subject to numerous risks and uncertainties that may lead the company's actual results to differ materially from what had been communicated. Factors that may impact the results of the company can be found in the company's 10-Q and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release from last night. I will now turn the call over to Leslie.
Leslie Hale: Thanks, Nikhil. Good morning, everyone and thank you for joining us. We hope that everyone continues to remain safe. And we also hope that you have a vaccination plan in place. It is a meaningful step towards all of us getting back to normal again. The current backdrop today is starkly different than where it was a year ago at this time. Although we have a ways to go, we are encouraged by the acceleration and lodging demand that we saw throughout the first quarter, which has continued into the second quarter. Lodging fundamentals have benefited from a significant increase in vaccination rates and the easing of restrictions that have allowed many markets to reopen, as well as the passing of additional economic stimulus. These positive developments allow the industry to benefit from significant pent up demand during the first quarter and drove our results to exceed our expectations. During the first quarter, we continue to execute on a number of fronts and our portfolios relative performance unfolded as we thought it would. Our relative performance confirmed our expectations that our portfolio would be an early beneficiary as a recovery starts to take hold. Our continued market share gains illustrate this and highlights the appeal of our brands, product type and footprint. Additionally, we continue to operate with a minimal cost structure. Our lean operating model enabled our entire portfolio to generate positive hotel EBITDA during the first quarter for the first time since the pandemic unfolded while our open hotels generated positive hotel EBITDA for the third consecutive quarter. We also materially improved our average monthly cash burn for the quarter relative to our estimates and we continue to maintain significant liquidity which is providing the capacity to advance our growth initiatives. And finally, we made meaningful progress on each of our three conversions, including finalizing the design and scope of our renovations for the Wyndham Santa Monica, the Mills House, Charleston and the Embassy Suites Mandalay Beach. With respect to our operating performance, our open hotels achieve occupancy of 46.4% during the first quarter and gained over 500 basis points as market share. Occupancy improved sequentially each month, achieving 56.1% in March, which represents the highest monthly occupancy level since the start of the pandemic. We were pleased that the occupancy for open hotels exceeded the overall industry during February and March, demonstrating the benefit of our portfolio construct and geographic footprint. These improving trends enabled our entire portfolio to generate positive hotel EBITDA each month of the quarter. We are pleased to see this positive momentum continuing to April, which is expected to be even better than March. From a segmentation standpoint, our leisure markets continue to outperform with drive to markets such as South Florida, Charleston, and Orlando benefiting from significant pent up leisure demand throughout the first quarter, including robust travel trends driven by an extended spring break in March. Additionally, there were several markets that benefited from unique catalysts during the quarter, such as the Super Bowl in Tampa, the Bi-Annual Legislative Year in Austin, and inauguration related demand in Washington D.C. With all of our markets benefiting from some incremental leisure demand, our portfolio achieved weekend occupancy of 56.5% the highest of any quarter since the beginning of the pandemic. In light of the work from anywhere flexibility for many, our brands and product type are allowing us to benefit from elongated weekends which now include Thursdays. This past quarter, we also saw another uptick in both business transient and group demand. Our hotels are capturing increased demand from smallest groups, such as sports teams, educational or training groups and weddings, allowing our group revenues, which represent a 10% of our first quarter room revenues to nearly double from the fourth quarter, albeit from very low levels. We are also encouraged by the continued improvement in corporate demand, which increased 27% from the fourth quarter and was a contributing factor to the sequential improvement in our weekday demand trends from last quarter. Corporate demand is still largely concentrated in local and regional counts from such industries as insurance, healthcare and government. In conjunction with the improving pace of demand, ADR at our open hotels also approved each month and we are encouraged to see the relationship between demand and pricing hold. For example, the nearly 19 point increase in occupancy at our open hotels from January through March was accompanied by nearly 12% growth in ADR resulting in RevPAR growing by 69% during this period. Our strong relative performance during the first quarter once again demonstrated the benefit of our portfolio construct which should continue to allow us to outperform as our recovery unfolds. For example, our resort properties achieved 70% occupancy. Our all three hotels achieve 50.1% occupancy and also gained 11 points of share. And finally our drive to market achieve over 50% occupancy. Our portfolio's ability to gain market share, while continuing to operate under aggressive cost containment initiatives enabled us to achieve positive adjusted EBITDA for the first time during this pandemic. Our improving performance enabled us to continue to reduce our average monthly cash burn, which was 30% below the low end of our first quarter guidance. We expect our average monthly cash burn for the year to continue to improve. Now looking ahead, the strong start to the year has increased our confidence in the strength of the recovery of demand. Leisure will remain a dominant demand driver and we expect the pace of vaccinations additional loosening of restrictions and recent stimulus to drive continued significant pent up travel demand. Additionally, continuing work from anywhere flexibility should allow leisure demand to remain elevated during the summer. With respect to business transient and group demand, we are encouraged by the sequential improvement and trends we are seeing. But our expectations relative to the ramp of these segments has not significantly changed since our last call. We continue to expect employees to begin returning to offices during the summer, with a pace increasing in the fall as schools return to in person learning, which should lead to a step change in business travel in the latter part of the year. We also expect small group demand which accounts for the majority of our group business to continue to ramp up as vaccination rates increase and size restrictions on gatherings loosen during the second half of the year which should drive incremental demand from sporting and other special events. Although the group booking window remains short, both our leads and conversions are continuing to strengthen, especially for the summer. A more positive outlook for demand growth is also supported by the recent trends we are already seen such as airline passenger volume rising to the highest level since the start of the pandemic, as well as the pace of employees already returning to offices in some markets, and the number of venues and attractions with high attendance that are already open. The overall momentum from the first quarter bodes well for the underlying strength of the lodging recovery and could result in outperformance relative to our expectations for the balance of 2021. As these improving trends unfold, we could not be more pleased with our overall positioning, which will continue to allow us to outperform. As we have demonstrated this for our exposure to drive to leisure markets, and the overall attractiveness of our hotels is allowing us to gain market share. Our transient in urban hotels are positioned to benefit as business travel improves. Our hotels continue to be favored by small groups that have begun traveling. Our less operationally complex hotels with smaller footprints are currently generating positive cash flow and are more efficient operating costs model should allow us to return to pre-pandemic EBITDA sooner.  Additionally, the continued strength of our balance sheet is allowing us to remain well-positioned to outperform long term given that our strong liquidity of over $1 billion in low burn rate is enabling us to emerge with a healthy balance sheet and allowing us to pursue our growth strategies sooner. As our dispositions demonstrate. we continue to be active portfolio managers and are pursuing opportunistic sales that will create incremental capacity for growth without meaningfully shrinking our EBITDA base. Additionally, we are seeing the benefits of our portfolio's improved growth profile in our relative performance and expect to thrive as business transient and group segments improve. And finally, we are moving closer to unlocking the embedded value from our conversions that are expect to amplify our EBITDA growth throughout the cycle.  In addition to unlocking our growth catalyst, we are continuing to actively underwrite acquisition targets, and remain well-positioned to deploy growth capital during what we believe will be a multiyear window for acquisitions. We remain confident that our seasoned team will be able to source attractive acquisitions for RLJ this year as our pipeline of opportunities has grown since our last call. That said we will remain extremely disciplined as we underwrite opportunities. Overall, we are encouraged by the improving backdrop we are seeing and are incrementally more positive about the potential for further improvement in lodging demand for the rest of the year. Moreover, we are pleased to see that our portfolios recovery and our outperformance is unfolding as we expected. Long term, we are energized by our strong positioning which will enable us to unlock our better growth opportunities and create significant shareholder value throughout the cycle. Finally, and more importantly, we remain deeply grateful to our frontline associates, who are instrumental in helping us navigate the recovery as it unfolds.  I will now turn the call over to Sean. Sean? 
Sean Mahoney: Thanks Leslie. We were pleased with the first quarter results, which have continued to improve so far during the second quarter. Our pro forma hotel operating results include the 101 hotels that we owned as of March 31 despite having four suspended hotels throughout the first quarter. Pro forma numbers exclude the courtyard Sugarland, which was sold during the quarter. Our reported corporate adjusted EBITDA and FFO include operating results from any sold hotels during RLJ's ownership period. Our first quarter portfolio occupancy of 43% represented an 880 basis point improvement from the fourth quarter. Our portfolio's monthly occupancy accelerated throughout the quarter at 34.2% in January, 42.5% in February, and 52.2% in March, which was stronger than we expected, and provides further evidence that our portfolio is well-positioned to capture demand in the current environment. The strengthening demand provided our hotel operators with the ability to yield rates, resulting in average daily rate growing by 11.6% from $111.49 in January to $124.43 in March. In markets with the highest demand, such as Key West, Charleston, Fort Lauderdale, and Miami, our hotels also achieved higher pricing throughout the quarter, providing us with confidence that historical pricing dynamics will continue as demand returns post-COVID.  Additionally, despite several of our urban assets in New York City and San Francisco remaining suspended throughout the quarter, our portfolio generated positive hotel EBITDA each month. We are encouraged that both of these markets are beginning to show signs of recovery which is allowing us to have more constructive view on reopening our suspended hotels.  The improving trends during the first quarter led our entire portfolio to achieve hotel EBITDA of $11.5 million, which also represented the first quarter of positive hotel EBITDA since the start of the pandemic. Our ability to generate positive hotel EBITDA is an affirmation of our high expectations for our portfolio's performance during a sustained recovery.  With respect to our 97 open hotels these properties achieved occupancy of 46.4% average daily rate of $119 and $18.5 million of a hotel EBITDA, representing the third consecutive quarter of positive hotel EBITDA. Similar to the overall portfolio, our monthly occupancy accelerated during the quarter at 37.1%, 46%, and 56.1% in January, February and March respectively. Finally, as we expected, our open hotel portfolio outperformed as demand returned and gained over 500 basis points of market share during the first quarter.  We are encouraged that second quarter demand trends have started off stronger than our expectations. During April, our portfolio is expected to generate occupancy of approximately 55% and ADR of approximately $132 which both represent improvements over March.  Turning to the bottom line, our first quarter adjusted EBITDA was $3.6 million and adjusted FFO per share was negative $0.18. We were pleased that our portfolio was able to generate positive corporate adjusted EBITDA for the first time since the start of the pandemic which affirmed our assertion that RLJ would be one of the earliest to return to profitability due to our lean operating model and portfolio construct. As Leslie while mentioned while demand accelerated throughout the first quarter, we remain vigilant in monitoring operator compliance with the aggressive cost containment initiative instituted during the pandemic. Underscoring our relentless focus on controlling costs, our first quarter total operating costs declined approximately 49.5% versus last year. Our team also remained vigilant on controlling variable costs during the quarter, resulting in a 51% reduction in wages and benefits from the first quarter of 2020. The benefits of these stringent cost control measures are also evident in our quarter-over-quarter performance. While our first quarter revenues increased 31.7% from the fourth quarter, our operating costs only increased approximately 10.1% which allowed our portfolio to increase the bottom line by approximately $18.7 million.  Turning to liquidity. Against the backdrop of improving fundamentals, we pay down $200 million of the outstanding balance on our line of credit in March with cash on hand. Even after this repayment, we ended the quarter with approximately $648 million of unrestricted cash, $400 million of availability on our corporate revolver, $2.4 billion of debt, and no debt maturities until 2022. We continue to maintain significant flexibility on our balance sheet. As of the end of the quarter, approximately 95% of our debt is fixed or hedged, and 82 of our 101 hotels are unencumbered. We were encouraged to the first quarter monthly cash burn was significantly lower than expected, which was driven by the portfolio's accelerating demand growth throughout the quarter. Our first quarter average monthly cash burn was approximately $14 million, which was 30% better than the low end of our estimated range.  Looking forward, we expect the second quarter average monthly cash burn to be in the range of $16 million to $20 million, which includes approximately $14 million in semiannual interest payments on our senior notes during June.  Based on our liquidity and low cash burn rate, we remain among the best position lodging reads to take advantage of ROI investment and external growth opportunities. As a reminder, our cash burn estimates exclude RLJ funded capital expenditures, which we continue to estimate will be between $75 million to $85 million for the full year of 2021. Looking ahead, our portfolio's lean operating model and portfolio construct should allow our hotels to continue performing substantially better than portfolios comprised of traditional full service hotels. Even as fundamentals are improving, our efforts continue to be focused on maintaining adequate liquidity while making prudent capital allocation decisions to position our portfolio to drive out performance during the recovery and beyond. To that end, we are continuing to prioritize high value projects, including completing the rooms additions in Emeryville and Buckhead and finalizing the planning for the conversions in Santa Monica, Charleston, and Mandalay Beach. We will also continue to prioritize less capital intensive ROI initiatives such as parking and contract renegotiations.  As we look ahead RLJ remains well-positioned with a flexible balance sheet, ample liquidity, lean operating model and a transit oriented portfolio with many embedded catalysts. Thank you and this concludes our prepared remarks. We will now open the lines for Q&A.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Our first question comes from the line of Michael Bellisario with Baird. Please proceed with your question.
Michael Bellisario: Good morning, everyone.
Leslie Hale: Good morning Mike.
Michael Bellisario: Let me just start with the big picture question for you. Your comments in the prepared remarks makes it sound like you're looking more closely at acquisition today. But maybe could you help us understand your desire and maybe any sense of urgency you're feeling to put some money to work today toward acquisitions given the improvement in the fundamental outlook?
Leslie Hale: Well, first of all, let me just say obviously we are pleased to be able to focus on growth as opposed to preserving capital. We have ample liquidity to do both internal and external growth. So we're well-positioned for that. What I would say, Mike, is that we do believe that the acquisition environments going to be a multiyear window. But we do appreciate that early cycle acquisitions tend to create more value. Having said all of that we will be very disciplined with how we underwrite and make sure that the types of assets that we're looking at are in our strike zone, which we still have conviction on our investment model and we want to make sure that the deals we're doing are creative on a number of fronts whether it is accretive volume, it's a compliment to our portfolio or offering metrics, the quality of our assets, and of course, the returns. So we're going to remain discipline, although we do appreciate that early cycle acquisitions can tend to create more value.
Michael Bellisario: And then as a follow up there, how would you or maybe for Sean if he wants to jump in here, how would you rank your different sources of capital today in terms of cost or relative attractiveness?
Sean Mahoney: Sure, Thanks, Mike. [indiscernible] today the internal growth catalysts are extremely compelling, and we think is probably the most valuable capital allocation source we have that are used today. Acquisition because of their early cycle nature and the ability to create value have gained a tremendous amount of steam as fundamentals improved. And so we view that as a silver medalist, if you will, in the hierarchy. But the beauty of our capital structure is we have the ability to do both. And you would expect us as we deploy our capital to be able to do both on that front.
Michael Bellisario: And then just in terms of sources of capital.
Sean Mahoney: Yes. So from a source perspective, you'd expect us to use our existing capacity first. We're sitting on a tremendous amount of liquidity at over a billion dollars including roughly 650 a cash that would be our -- certainly our principal use, in addition, under our line of credit, we have capacity, because we did use $200 million to repay the line, which was a sign of our confidence around the recovery during the quarter. And so we now have $120 million of capacity under our line of credit covenants to be able to deploy as well. But we have more than that in balance sheet capacity. So we feel very well positioned.
Michael Bellisario: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Please proceed with your question.
Austin Wurschmidt: Great, thanks. Good morning, everybody. So you guys in previously said you were running a heads and beds type strategy earlier this year. You referenced, you saw 27% increase in corporate demand. So just curious one, what is corporate demand represent today as a percent of overall room nights and how does that stack up versus pre-pandemic levels? And then secondly, I'm just curious we've talked about the sort of local business traveler being the primary driver that but how much upside is there still from more of the local regional type corporate customers?
Leslie Hale: So Austin, the first part of your question, BT is contributing about 11% to 12% of our contribution and that's about 20% of 2019 levels. We continue to believe that for the balance of the year BT will ramp gradually and that in the near term it's going to be your insurance, government kind of health care players. We think that business travel is really going to be continued an increase of as really going to be contingent upon offices reopening, which we don't really anticipate to see that in a meaningful way until after Labor Day. And we could see step change in demand following that, but in general that's what we sort of view as a cadence. And we think that obviously, rate and occupancy have continued to hold its relationship. And as we've been able to drive occupancy, we've been able to drive rates and we think the same thing will happen as BT ramps appropriately. But it's still at a very pretty anemic level that only 20% of 2019 levels.
Austin Wurschmidt: And then so do you think there's still upside simply from the corporate, the local and regional corporate customer? Or does it really need to broaden out for you to see more meaningful shift in the mix?
Thomas Bardenett: Yes. I would say Austin, this is Tom. Good morning. The local and regional is where it's starting and we definitely feel like that's a good beginning. But to have the type of demand come back to the levels that we're used to, it's going to have to be more national as well as visitation that's going to go state to state versus internal. So what we think is, as Leslie's previously stated, when offices start to open, we think that not only will they go to their own office, but people will be allowed to visit their office. And that's where you'll start to really see the uptick. The encouraging thing is weekday demand is picking up. Some of that is leisure, and some of that is BT. So as we look at the type of travelers that's coming in today pharmaceutical, medical, insurance, government that's related to corporate, we think it's going to have the uptake, more on the Q3, Q4 timeframe, when offices truly are opening and people are visiting more on a national level versus local and regional.
Austin Wurschmidt: Got it. Appreciate the additional details Tom and then expenses this quarter you had some pretty significant variable cost savings. You mentioned the cash burn coming well below what you had anticipated. How sustainable are those savings and how do we think about the ramp through the year a little bit? 
Leslie Hale: I think that Austin we obviously believe that there are efficiencies that we have gained through this pandemic that we think will carry over. Clearly we're going to have to put some of the cost back in as occupancy continues to improve. But we've been very thoughtful about making sure that the cost we put back in is occupancy appropriate. So whether it's an SMB incremental offerings that we have, or even on the labor side, all of it has been occupancy appropriate. We still have a ways to go from a recovery perspective. So we're being very thoughtful and disciplined around that.
Austin Wurschmidt: Understood, thank you. 
Operator: Thank you. Our next question comes from the line of Tyler Batory with Janney Capital Markets. Please proceed with your question. 
Tyler Batory: Thank you. Good morning. First question I have is it go back to the cost side of things. I'm interested what you're seeing on the labor front and I'm also curious if you could discuss focus service versus compact full service on the labor side of things and perhaps quantify labor requirements as those property pilots and perhaps how they differ? 
Leslie Hale: Yes, I mean, sure, Tyler, everybody obviously knows that there is a staffing issue within the industry. It's not just a lodging industry, it's a service industry overall. And clearly, that's being influenced by the extended benefits that associates are receiving lack of childcare because some students are not in school or just the inability or the flux in occupancy, which is doesn't give us ability to offer 40 hours a work week. We think that those are temporary and transitory. And as occupancy continues to improve, and we get past September as it relates to the benefits that some of these labor pressures subside. We think our team has done a great job in terms of dealing with the shortage of staffing, and being able to meet the needs of the customer. And the consumer despite the lack of staffing in some areas, we think it's sort of a general industry issue, and not specific and I think Tom can comment more on a flex service versus full service, but in general, we're not seeing a difference in labor shortage across either asset type. 
Sean Mahoney: Yes. Tyler, I would add that we've been tracking FTE since the pandemic and when we think about quarter four, and I'll get into full service versus flex service, but if we look at overall portfolio first we were running around 38% of FTE compared to pre-pandemic, when we were at around 34% occupancy. And just as we increased in quarter one to about 41%, of pre-pandemic at 43% occupancy. So you can see a little bit of a stair step. But the controls around FTE has been pretty significant both in select service and full service. Where we see the most need obviously, as housekeeping as we're ramping up in occupancy and as Leslie stated earlier on the food and beverage front we're gradually opening up outlets as occupancy increases and the consumer preferences are out there when you're running 80% or 90% in some of our resorts. So we are putting FTEs back in that area. The one area, I'd also say that we've been very cognizant around making sure that we maintain our assets is we have been very careful not to save on the rooms and maintenance side where we've only had around 22% compared to on the labor front, because we want to make sure our assets are in good shape, getting ready for the demand that's going to be coming this summer. And we've been very thoughtful around that. And the last point that I would say on full service and select service is we really haven't noticed a difference because we've always run our compact full services with that select service mindset, we haven't seen a major differential, because most of our compact post services are 300 keys with maybe 5,000 to 10,000 square feet of meeting space. So we run it more similar to what we would say a select service margin would be able to acquire. 
Tyler Batory: Okay, that's very helpful. And as a follow up, can you talk more about weekday versus weekend performance in the portfolio? Has that gap started to narrow when you look at results in April or March compared with earlier in the first quarter or even the fourth quarter? 
Leslie Hale: Yes. I would say that there's still a meaningful gap there, because this is obviously leisure is driving the demand here. We think leisure is going to continue to drive demand in the second quarter and third quarter. So our weekend occupancy in the first quarter was 56% and our weekday was I think 42%. And so you can see the meaningful gap there. We continue to see that into April as well and would expect that to generally hold. 
Sean Mahoney: And one thing I would add to Tyler is in April, the bounce that we're seeing on weekends is for instance, we had 36 hotels that had occupancy higher than 2019 levels. And so when we're able to push rate, we're really dialing into those opportunities where we see the demand is there where the relationship between rate and occupancy is giving us that opportunity to try to drive some ADR index at the same time. So we do also see a differential not only an occupancy, but ADR on weekends versus weekday.
Thomas Bardenett: Yes and the one thing to add on there we are seeing an uptick in weekday occupancy. We saw a strong performance in April an increase in weekday occupancy as well as weekend but I think the perspective on how the portfolio's performance from an occupancy perspective is that both weekend and weekday are improving which is encouraging to us as demand continues to accelerate.
Tyler Batory: Thanks. That's all for me. Appreciate the detail. Thank you.
Operator: Thank you. Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi, good morning. Just in terms of acquisitions, what are you seeing, I guess, on the market in terms of potential you seeing single asset portfolios? And who's kind of the typical potential seller for your type of product?
Leslie Hale: Yes. I would say generally Anthony, that there continues to be kind of a limited volume of high quality assets that we want to purchase. What I would say is that a number of conversations for us have increased. We're very focused on off market or limited bid type of transactions. As you know the types of assets that we're looking at are generally positive cash flow at this point. And so there is less pressure for those types of sellers but we're seeing -- the opportunity has really shifted from say level discount to access to opportunity and so we're seeing conversations where there is a owner operator, high net worth individuals. PE we're seeing it from a variety of different angles, institutional owners who maybe not feel like the asset, even though it's a great asset may not fit their forward plans. And so we're seeing it from across the spectrum. And again, I think we're encouraged by the increase in number of conversations that we are having.
Anthony Powell: Thanks and how close are your brand partners to announcing this new brand standards for your various brands? I guess there is some concern that as more people start to travel that they're going to expect a certain level of amenities that may not be available or may not be coming back at all. So just curious, your [conversation] with Hilton and Marriott and Hyatt, are they close to really just announcing new standards so that customers can know what they're expecting?
Thomas Bardenett: Yes. Anthony, good morning. We've had a very collaborative relationship with all three brands that you mentioned, Marriott, Hilton, and Hyatt. What's been interesting, as they've started to see the ramp. They've started to really think about what does the new future look like, because we're getting closer to that, which is encouraging. If you come out of first quarter and starting to see occupancies in the 50%, and 60% in April. We are starting to see the consumer have different requests as they come in as you have more demand. What we're noticing is they are definitely keyed in on trying to do a reset. For instance how they can actually take a look at hours of operations, efficiency of operations, and most importantly, the actual food and beverage deliverable as an example. When you think about the breakfasts in our world, where we either have a complimentary breakfast or a buffet or even evening receptions, there are modifications that are coming through. So it's not going to go back to pre-pandemic levels. But we're very encouraged that they're taking a look at what was waste, what was their area of opportunity to try to minimize the selection so that you actually are focused on what people actually like. So we're thinking that there's going to be a change, that's going to be after Memorial Day, but occupancy levels will drive that. And we'll see that there will be below pre-pandemic levels. The last thing that I would say is on the housekeeping front, everybody is staying firm in regards to the current situation, where it's more of an opt in. And that's encouraging, as well as we're going into cleaning after checkout versus on a stay over. And as we look at the take rate that's continuing to climb a little bit, but that's one of the biggest areas of opportunities because we are a rooms oriented portfolio.
Leslie Hale: And I would just sort of just want to emphasize what Tom was saying about occupancy. I think the brands are being very thoughtful to ensure that whatever brand [standards] they put back in place, or occupancy appropriately and that's key, because we're partnering with owners around this topic.
Anthony Powell:  Thank you.
Operator: Thank you. Our next question comes from the line of Dany Asad with Bank of America. Please proceed with your question.
Dany Asad: Hey, good morning team. We touched on this a little bit through different questions this morning. But just trying to put it all together if we think about the floor wall operating model of your specific hotels to just relative to last cycle, how do we think about RLJ's margin potential this cycle, when we know you've done a lot on the cost side on one hand, but at the same time, we keep hearing about labor constraints, inflation and just costs as an emerging risk here?
Thomas Bardenett: Thanks, Danny, I think there is clear benefits to sort of what we call the all weather strategy of the RLJ portfolio in the sense that from an operating cost standpoint, our lean operating model allows us to perform well in low occupancy environments, but also our locations within our portfolio provide us with the urban exposure to be able to have ADR left and similar upside to some of the more full service centric portfolios within the market. And so where we think our portfolio sits today is a portfolio that has the downside protection of the stability of more stable occupancy and tighter and more robust margins while maintaining that upside potential at the higher rate through our urban locations. And so I think RLJ positioning posts over the last several years has been to be a portfolio that we believe should be able to perform throughout the cycle that's a combination of just organic growth within the portfolio but also the ability of our internal growth catalysts and the capital that we're deploying within the portfolio. And so we're excited about our positioning and think that our portfolio should be an outperformer throughout the cycle because of how we positioned the portfolio and what we have left to go.
Anthony Powell: And Sean, just a follow up on that. So with everything you see in front of you right now, do you feel confident or comfortable like that we could hit higher, like relative to last cycles, margin peaks, we can hit higher margins this cycle with everything that's been done?
Sean Mahoney: Yes. I think the you would expect RLJ's portfolio as the cycle evolves if the operating model is lower, we believe it will be, you would expect RLJ's portfolio to be within the mix of the margin expansion, we have not publicly provided what we think that margin expansion is, other than we are confident that costs will stay out of the business. We're confident that our portfolio margin expansion will be in line certainly within the other portfolios but we have not publicly given arrange for that out of them our competence around the ability that there will be margin expansion.
Anthony Powell: Understood, Got it. thank you.
Operator: Thank you. Our next question comes from the line of Neil Malkin with Capital One Securities. Please proceed with your question.
Neil Malkin: Hey, everyone. Good morning. First question, Leslie in your commentary, today, and then written in the release last night, you talked about your increased covenants in the lodging, recovery, and totally see that on the leisure side, but I guess, in terms of your market may be easy to look at you have reasonable reasonably sized exposures to Chicago, California, NYC, these are very reliant on international travel, the larger corporate accounts, group activity, and these also have some of the most aggressive unions as well. So just kind of curious to if you can maybe parse that statement that you made, or maybe kind of just disaggregate that statement from with the markets that I'm talking about. I am interested to get how you view that in comparison to some of your drive to leisure oriented markets and hotels? 
Leslie Hale: Yes. I think the way to sort of think about it is sort of think about our portfolio diversification I appreciate the puts and takes that you sort of articulated, but we really think that our portfolio, because of our footprint, and our exposure to the various segmentations of the leisure exposure that we have, as well as how we're positioned relative to BT, and small group that were positioned to outperform. And we've seen that in our performance thus far and as recovery unfold, we would expect that relationship and relative performance to continue, despite the individual market puts and takes because we're looking at it on a portfolio basis. We've seen we still expect leisure to drive, it's going to be a leader centric recovery and so we like our exposure there. We think that BT will rebound and we like our how our portfolio is positioned particularly in our urban select service component. And we think that small group will lead the way and we're positioned for that, and that's across our portfolio, appreciate the puts and take from some of the markets, but I think in aggregate, our portfolio is going to be an outperformer as we've demonstrated this quarter.
Neil Malkin: Okay, thanks. And then, just in terms of Sean's comments about internal repositioning ROI project is being the best use of capital as you guys sit here today I'm just wondering, given that and your commentary again being more bullish on the recovery, do you think or are you more willing to think about pulling maybe some of the Windham conversions forward? Just kind of getting them ready to take advantage of what should be probably record levels of domestic leader travel over the next 12 to 18 months or so.
Thomas Bardenett: So let me start and I'll kick it over to Leslie with respect to the timing of the renovations. We've been very strategic about how we wanted to sequence out the Wyndham renovations. When we got this opportunity which we accelerated from what should have been a year and 22 opportunity to a year in 19 opportunity, we thought that the best way to sequences was to do renovate and relaunch a couple of those per year wanted to based on where those markets were relative to the recovery. And so we've accelerated Santa Monica and Charleston, because when we looked at the assets that we saw leisure center markets, and we wanted to prioritize those, they were first but we have a sequencing of a couple per year within that. We don't think that the timing of the pandemic or COVID will change up sequencing because we want to make sure that we have the expertise to do it. And we want to make sure that when we relaunch these things they relaunch in a way that's strategic. And so anyway.
Neil Malkin: Okay, so yes. So kind of no change from before.
Thomas Bardenett: That's right. That's right.
Neil Malkin: Okay, okay. Thank you.
Operator: Thank you. Our next question comes from the line of Floris van Dijkum with Compass Point. Please proceed with your question. 
Floris van Dijkum: Hey good morning guys. Thank you for taking my question. I am just trying to ask I guess touch upon previous questions, but maybe phrase it different way. And because I do think that while you talk about outperformance, obviously the investors compare you to your peers who also happened to broken even on EBITDA basis. And so I think it's a relative value for a lot of them. And so how do you stand out? And how do you tell the story to help you make you stand out? I am just thinking about it and Leslie and Sean, maybe if you can, I know you guys haven't talked about this, but I think it would be helpful for the market to understand you had 450 million of adjusted EBITDA in 19. What do you think you're stabilized EBITDA will be once we get through this, I realized it could be three years or four years down the road. But if you can and then qualify some of the cost savings, the permanent cost savings that have gone into taken out of the system your ROI conversions or your ROI investments, your winning conversions, and sort of your general index improvements relative to peers. What do you think your earnings power will look like nce we get to the other side? 
Leslie Hale: So there's a lot of packet in there. We will start with a piece of it and if we miss or miss a piece of it, just follow up on it. But look, I would generally say that the thing that gives us confidence about our ability to outperform is the nature types of assets that we own. We own assets that when the recovery unfolds, and BT group starts to take hold and rate really starts to drive we have assets that are going to tuck right up under with the full service are on the rate side but that have very attractive margin profile like select service assets. These assets generate significant free cash flow and are more resilient and the resiliency has been demonstrated through this pandemic. And we think that's going to drive operating performance from that perspective. We think that our portfolio is positioned to perform throughout the cycle. We think early in the cycle we're demonstrating that on a relative basis to what we believe is our true peer group that we're going to outperform operationally, which we are. If you look at our occupancy, you look at not so much the fact that it's positively EBITDA with the level of EBITDA, and therefore the importance of the ability to get back in 2019 level sooner. Additionally, we think that the conversion opportunities and ROI opportunities that we have, will allow us to get above recovery growth not just simple growth from the recovery taking hold the growth, from the incremental value that we are getting from our conversions. And then finally, the types of assets that we own today will also allow us to get back to because of the free cash flow that we own to get back to paying a dividend sooner as well relative to our full service peers or who we think is sort of our true comps. So you have to look at it throughout the cycle. We think that we have benefited every element of the recovery, earlier recovery, the middle of recovery, on the backend of the recovery as dividends become more prevalent, as we believe that our model, our asset type, our footprint is going to serve as well throughout that component.
Floris van Dijkum: But Leslie, are we talking about 10% EBITDA improvement down the road or are we talking about 15% EBITDA improvement? What sort of, if you can quantify any of that. I think that would help investors and get them more comfortable about the [indiscernible] for RLJ.
Leslie Hale: So you are breaking up pretty badly, and I apologize. So I am trying to do my best to interpret, because I'm missing every other word. But what I would say to you is that we're pretty confident that our ability to generate EBITDA above our 2019 levels exists. We think that our conversions are going to play a key role on that. We think that the improved growth profile that we garnered when we sold about a third of our assets in 2019 all those things will allow us to achieve EBITDA that's above our 2019 EBITDA adjusted for [indiscernible] itself. We think we have a much better portfolio today. We think that the investment that we're going to make in the Wyndham's will generate significant returns there. We remain excited about all of our conversions, but in particular, the two conversions that we mentioned earlier; Santa Monica, and Charleston, these things are on target to start the renovations at the end of the year. We look forward to relaunching those assets in 2022 as a start of our conversion pipeline which is going to coincide with the return of the higher rated customer. We have greater conviction today as it relates to the returns on these assets because we have a leisure centric recovery that's coming. And we expect the returns to be well north of 40% on each of these assets. This is an example of the nature and types of conversions that we have in our portfolio. We're very pleased to be able to deliver these conversions at least two years earlier than we would have been able to deliver relative to the structure that was on these assets. So we think that the embedded value in our conversions and ROI properties are going to allow us to push past 2019 in addition, just the normal recovery. 
Floris van Dijkum: Thanks Leslie. May be one follow up in terms of the dividend you touched upon can investors expect a resumption of the dividends in the second half of this year? 
Sean Mahoney: I mean for us, that's obviously a board decision. I think, based on the current pace of recovery I wouldn't expect lodging REITS to be returning to paying cash, cash dividends outside of if there's taxable income for 2021. But clearly, that's a board decision.
Floris van Dijkum: Thanks Sean. Appreciate it.
Operator: Thank you. Our next question comes from the line of Bill Crow with Raymond James. Please proceed with your question.
Bill Crow: Yes. Thanks. Good morning. Leslie there have been discussions out there that the [indiscernible] market, and I was wondering if you could give us an update on that asset as well as the [indiscernible].
Leslie Hale: Yes. So look I think that we have 100 asset portfolio. And we're active portfolio managers. As we have demonstrated, we sold two assets at the end of 2020. We have two other assets that are pending and we continue to looking at our portfolio. We will evaluate opportunities as opposed to other assets if and when it becomes necessary to discuss, but at this time, we don't have anything to discuss on New York relative to asset sales.
Bill Crow: Okay. Thank you. 
Operator: Our next question comes from the line of Gregory Miller with Truist. Please proceed with your question. 
Gregory Miller: Thanks. Good morning. Apologies if this question has already been asked, I lost connection for a minute. I'm curious to hear your latest thoughts on the financial distress of franchisees that lock your liquidity and how that distress may impact RLJ for example, do you anticipate a greater number of vendor takeovers of privately owned hotels this year if that's sort of coming or perhaps mergers of private owners as well? 
Leslie Hale: I think that there is going to be an elongated window of how the impact of the pandemic unfolds between the banks being accommodating for a period of time, between owners being able to access their reserves or using NOIs in their balance sheet, the impact of that will take several years to see but what I would say is that the type of assets that we are most interested in they're already free, they're already generating free cash flow. And so therefore, as I mentioned before, there's less pressure on those types of sellers. Having said that we do think that there will be some assets that shake loose as a result of individual balance sheets and how the impact and the pandemic has impacted them. And let's be clear, there isn't a single industry that was severely impacted were balance sheets aren't going to have to be reshaped in some form or fashion. Lodging is not agnostic to that. But it's going to take a while to see how it ultimately unfolds and part of that's going to be predicated on the ramp of the recovery but we will see some owners fail assets will be considered a stress sale, that will to be determined, but there will be some level of pressure as well the pandemic, but we have to watch it unfold. 
Gregory Miller: Okay, great. And then I would like to shift to the demand side for a minute. In recent quarters, you spoken to a short booking window. I'm wondering if you could share your latest impressions on the length of the booking window today and perhaps the types of hotels or markets that are seeing more advanced bookings if it's leisure specific, or you're seeing it on the corporate side, urban markets versus leisure oriented markets. Any color?
Leslie Hale: I'll start now and let Tom give some more color. What I would say is that our booking window continues to be relatively short. We're most encouraged on the small group side where we've seen our leads improve and we saw our conversions on short conversions increase as well. An example of that, as we mentioned earlier small group represented about 10% of our revenues in the first quarter, a third of that was booked in the quarter for the quarter, just as an example of how to sort of think about the need of the booking window.
Thomas Bardenett: And Greg out of start on the transient side, and move over to group. So for instance, booking window is still strongest as you can imagine, same day and 1 to 3 days, because it's leisure, and they're making those last minute decisions. And for instance, in the last four weeks, they've been actually almost above 2019 levels somewhere between 90% and 110%, in 2019 levels. And obviously, there is more inventory, because leisure is the main traveler. What is interesting, though, the 31 plus days is about 80% of 2019 levels And that's encouraging because people are starting to put their toe in the water and thinking about booking longer out. So for instance markets like New Orleans, Charleston, the leisure markets where people are saying I want to go they are actually making reservations sooner than last minute and some of those markets because they're higher demand markets similar to like what we have in Key West where people know it's going to be busy down there. On the group side to Leslie's point earlier, what we're seeing is short term bookings are happening. For instance, about 40% of our bookings into 2021 are actually happened in the quarter for the quarter when we look at what happened in first quarter. And then when we look at the rest of the year, most of that business is going into 2021, not 2022. When I think about the type of groups that are coming, it is still within our power [rally] peak night demand for group lead volume is roughly between 10 and 25 rooms, or 25 and 50 rooms. And that's almost predominantly the major amount of groups that we're seeing on the booking pace and a little color around group to give you an example in some of our markets, it is related to leisure but we're also seeing some opportunities where we're encouraged based on what's happening in Q3 and Q4. For instance, on the leisure front, we have a maintenance team that's going to put a roller coaster together in Northern California. So it's the first time that we're going to see some demand come out from that. In the future we're excited about Tampa, for instance, where we had the Super Bowl. They really got some good press and we put about 4000 room nights at our Embassy Suites Tampa with group Association in Q3 and Q4. So that's encouraging. And then lastly, I would say we've all been talking about sports and weddings and training. That's the activity that we're seeing in a small group which again kind of bodes well for our type of portfolio.
Gregory Miller: Terrific. That sounds very promising. Thanks very much.
Operator: Thank you. We have reached the end of our question and answer session. I would like to turn the conference back over to Leslie Hale for any closing remarks.
Leslie Hale: Thank you all for joining us. This year has gotten off to a strong start which is encouraging. We're optimistic that that momentum will carry into the back half of the year. We hope everybody remains safe and look forward to hopefully seeing you all in person at some point in the near future.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.